Operator: Good morning, ladies and gentlemen, and welcome to the Heritage-Crystal Clean, Inc. Second Quarter 2014 Earnings Conference Call. Today's call is being recorded. [Operator Instructions] Some of the comments we will make today are forward-looking. Generally, the words aim, anticipate, believe, could, estimate, expect, intend, may, plan, project, should, will be, will continue, will likely result, would and similar expressions identify forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from those anticipated by these forward-looking statements. These risks and uncertainties include a variety of factors, some of which are beyond our control. These forward-looking statements speak as of today, and you should not rely on them as representing our views in the future. We undertake no obligation to update these statements after this call. Please refer to our SEC filings, including our annual report on Form 10-K, as well as our earnings release posted on our website for a more detailed description of the risk factors that may affect our results. Copies of these documents may be obtained from the SEC or by visiting the Investor Relations section of our website. Also, please note that certain financial measures we may use on this call such as earnings before interest, taxes, depreciation and amortization or EBITDA are non-GAAP measures. Please see our website for a reconciliation of these non-GAAP financial measures to GAAP. For more information about our company, please visit our website at www.crystal-clean.com. With us today from the company are the Founder, President and Chief Executive Officer, Mr. Joseph Chalhoub; the Chief Operating Officer, Mr. Greg Ray; and the Chief Financial Officer, Mr. Mark DeVita. At this time, I would like to turn the call over to Joe Chalhoub. Please go ahead, sir.
Joseph Chalhoub: Thank you. I would like to welcome everyone to our second quarter 2014 earnings call. Today, we will discuss our second quarter 2014 financial and operating results and respond to questions you may have relating to our business. We are pleased with our revenue growth in the second quarter. Our second quarter revenue grew almost 23% from $63.6 million in the second quarter of 2013 to $78.1 million in the second quarter of 2014. Year-to-date revenues increased 16.6% to $144 million compared to $124 million for the first half of 2013. Revenues grew in both of our operating segments due mainly to organic growth and expansion. We are now well along with our planned expansion, which, as you know, was designed to increase the capacity of our re-refinery from 50 million to 75 million gallons of feedstock per year. The difficult weather we experienced this past winter slowed some of our work, but I'm pleased to share with you that as of the second quarter, we have successfully implemented many of the process and equipment changes, and we have achieved a new nameplate capacity of 65 million gallons per year, up from 50 million. Furthermore, during the second quarter, we enjoyed relatively smooth operations, and we produced 9.4 million gallons of base lube oil, corresponding to a run rate of approximately 100% of the new 65 million gallon nameplate capacity. As we focus on maintaining our performance at this new higher operating rate and minimizing shutdowns, we expect to defer the final changes associated with the last step of the expansion until sometime around the end of 2014. Although we were able to significantly improve revenue in the Oil Business segment due to increased volume, the lower market price of base oil we see continued to pressure our margins in this segment. We are pleased to report our continuing progress in reducing the price we pay for used oil. By the end of the first quarter, we were able to lower the price we paid for generators for the used oil by approximately $0.03 compared to the end of 2013. This quarter, we've continued the trend so that by the end of the second quarter, the price we paid for generators for the used oil has decreased by more than $0.07 from the end of 2013. Overall, our weighted average price paid to generators for the used oil for the second quarter was approximately $0.045 less than during the first quarter of 2014. This accomplishment reinforces our view that our customers value the excellent service provided by our employees. This experience also gives us confidence in the systems we have implemented to manage the price we pay for used oil at more than 55,000 used oil customer locations. In the face of the challenge to reduce the price paid to generators for their used oil, we continue to see substantial improvement in our used oil collection around efficiency during the quarter, enabling us to increase the average volume of used oil collected per truck. We are encouraged by record used oil collection volumes, reduced used oil pay and improved throughput and efficiency at the refinery. We are pleased with our progress in improving the areas we can control, while driving to continue to improve in the same areas. In our Environmental Services segment, we are delighted with our sales bench sales growth of 11.3% and our operating margins of 28.4%. These results represent a strong resurgence from the subpar performance in the first quarter, which was caused primarily by challenging winter weather. We are pleased to announce that during the second quarter, we completed an acquisition of a small fast meaning and containerized waste service company in Toronto, Ontario Canada. The acquisition increases our total branch count to 76 as of the end of the quarter, and provides us a platform for future growth in Eastern Canada. Our Chief Financial Officer, Mr. Mark DeVita, will now further discuss the financial results, and then we will open the call for your questions.
Mark DeVita: Thank you, Joe. I appreciate the opportunity to discuss HCCI's second quarter 2014 results with our investors and analysts today. In the Environmental Services segment, revenues grew $5.8 million or 16.2% in the second quarter compared to the second quarter of 2013. Of the 73 branches that were in operation throughout both the second quarter of 2014 and 2013, the growth in same-branch sales was 11.3%. The revenue growth figures for same-branch sales exclude revenues generated as a result of acquisitions made during the fiscal 2013. For the first half of the year, revenues increased $9.9 million or 14.1% in this segment. Same-branch sales for the first half of fiscal 2014 grew 8.8% compared to the first half of fiscal 2013. Our effort sales per working day in the Environmental Services segment increased approximately $700,000 during the quarter compared to $655,000 in the first quarter of 2014, and compared to $600,000 in the second quarter 1 year ago. Operating costs in the Environmental Services segment increased approximately $3.8 million compared to the second quarter of 2013. We are pleased that our operating margin in this segment was 28.4% for the quarter compared to 27.8% in the year ago quarter. This improvement in the Environmental Services segment margin in the second quarter was a result of increased leveraging of fixed cost from higher sales volumes and from the price increase implemented earlier this year. In the Oil Business segment, revenues for the second quarter were up $8.7 million or 31.4% from the second quarter of 2013 as a result of increased production at the re-refinery, offset by lower product prices. For the first half of fiscal 2014, revenues were up $10.6 million or 20% compared to the first half of fiscal 2013. In the second quarter, our Oil Business experienced income before corporate SG&A of $0.6 million compared to a loss of $0.5 million in the second quarter of last year. The improvement in profitability was driven by improved leveraging of fixed cost at our re-refinery, lower prices paid to generators for their used oil and improved route efficiency in our used oil collection network. Despite our improvements in these areas, the spread between the cost of feedstock and the price of base oil remains challenging. In the first half of fiscal 2014, the Oil Business experienced a loss before corporate SG&A of $1.7 million. Corporate SG&A was 10.6% of revenue during the second quarter, down from 11.1% in the year ago quarter. Year-to-date, corporate SG&A was 11.9% compared to 11% for the same period in 2013. The increase from the first half of fiscal 2013 was primarily due to higher costs associated with the evaluation of potential acquisitions. However, in the second quarter, we were able to decrease SG&A as a percentage of revenues as we grew our business without incurring substantially more costs. At the end of the quarter, we had $20 million in total debt and $18 million of cash on hand. We incurred $33,000 of interest expense for the second quarter of 2014 compared to interest expense of $107,000 in the year ago quarter. We incurred $86,000 of interest expense for the first half of fiscal 2014 compared to $213,000 in the first half of fiscal 2013. For the second quarter, we experienced income attributable to common stockholders of $1.9 million compared to $1 million in the second quarter of 2013. Year-to-date income was $0.3 million compared to $0.6 million in the first half of 2013. Our basic and fully diluted income per share for the quarter was $0.10 compared to $0.06 in a year ago quarter. For the first half of the year, income per share was $0.01 compared to $0.03 for the first half of last year. Thank you for your continuing interest in Heritage-Crystal Clean. At this time, I will turn the control of the call over to our operator, and she will advise you of the procedure to submit your questions.
Operator: [Operator Instructions] Our first question comes from the line of David Mandell from William Blair.
David Mandell: In the Environmental Services business, 11% same-store sales growth. Can you break that out between volume and pricing?
Mark DeVita: It's about half and half.
David Mandell: All right. And then in the Oil Business, you've done a good job pretty quickly getting the used oil collection pricing lower. How much due of targets, or how much more you want to reduce the price you're paying or any sense of how -- if that can continue in 3Q and 4Q?
Joseph Chalhoub: Yes, we do have a target. When we started the process here, we decided to take a leadership in the market that had really not moved much on the pricing. And we're pleased with the progress then. It's hard for us to give you a specific number. We -- obviously, our objective is to continue to reduce it. But we're also defensive about the -- how the rest of the market responds. And during the process, we want to also maintain the activity of our routes. So we'll keep targeting further reductions that will be centered about the impact of income on our volume and productivity.
Operator: Our next question comes from the line of Sean Hannan from Needham.
Sean K.F. Hannan - Needham & Company, LLC, Research Division: I think nice results there on the quarter. I know that there are a number of things you need to step up in execution, as well as kind of getting past some of those other exogenous events in the first quarter, so nice work there. At this point now, we've seen Chevron start up. And I think there are some news out there that they've been delivering samples with that new facility. We've always been focused on for a good period now. Some of those samples, I believe, going to some customers in Northeast. Can you talk about whether any customers are in common with you, whether you're getting any feedback within industry on this, and would it seem that expectations might be for pricing right now even though we're not seeing any posted pricing movements really from them or rather as we see some general stability. So any thoughts there would be helpful.
Joseph Chalhoub: Yes, we -- from day-to-day situation, we haven't seen any changes here recently as a result of Chevron running. We haven't seen much volume out in the market being offered. There have not been pressuring in the customers we deal with. We continued to be sold out on our production. And -- but we're sensitive about this new production. And I think that the quarter will tell us more about how this is going to affect the market price. We know that the refiners have been running with also a very narrow spread between value of crude oil and the selling price of lube oil. And so we'll be watching this very carefully. But it's hard for us to forecast what will happen. We're really on the lube sales we're followers on that market.
Sean K.F. Hannan - Needham & Company, LLC, Research Division: Okay. And then as you look at your own internal operations on that piece of the business, what do you have in terms of expected shutdowns at this point for third quarter or fourth quarter? I'm assuming there might be some as you kind of finish that expansion at some point this third quarter. But is there any information you can provide us for detail and what we expect in terms of disruption?
Joseph Chalhoub: Yes, I think I covered that a little bit briefly, but I can expand it a bit further. We -- as I said in my statement, we're -- we've planned to push the completion of the project towards the end of the year. And because of the work needed, we'll do tie-ins and had the last incremental capacity. And the fact that we've got the capacity up to 65 million gallons, we're going to be doing this quite carefully so we don't disrupt our production levels at this time. And that's why we're looking at pushing that towards the end of the year. So for the third quarter, we don't intend to make -- or take shutdowns of significant to implement further changes with the expansion.
Sean K.F. Hannan - Needham & Company, LLC, Research Division: Okay. That's helpful. And then last question here for the moment. On the Environmental Services side, can you detail for us or provide at least a little bit of color in terms of what the acquisition may have contributed during the quarter? And then additionally, just margin profile of that business. I'm assuming it's probably very similar to what you've been accomplishing. But I don't know that and wanted to see what other information might be able provide around that. if there are further expansion opportunities that might be relevant to that location.
Mark DeVita: Sean, this is Mark. I'll start and then Greg or Joe can add comments if they wish. The acquisition is a pretty small operation relative to the overall company size, and it would be relative to some other locations. It would be in the category of a small or not quite startup, obviously, but a not close to immature branch is probably less than a couple or hundred thousand in the top line revenue. It is one where we haven't yet begun to integrate it a whole lot in the margin profile. We think we can improve, we will improve it over time. But, especially on that small top line figure, the margin profile isn't where we want it to be. It's not where our average is for the quarter for sure. It's lower than that and not much higher than probably a breakeven at this point. So once we start to integrate, we would see that, that would be more of a positive contributor but in a small way for probably a number of years.
Gregory Paul Ray: You can think about this as a better alternative than starting a branch from scratch because we get from starting business and we get some employees, the entrepreneurs who started the business who are familiar with the operations in Canada. And so it's a way that we can begin and get going more quickly and get to breakeven our profitably more rapidly. But in a lot of respect, it's not going to look very different from a normal branch opening that comes in the way that rolls out over time. Clearly, there are some things we will have to develop in order to do a little bit differently to be operationally successful in another country in Canada, so this gives us a star jump-start on how to learn and do those things as well. But we have quite a few Canadians on our executive team, and we have experience doing business in Canada. So this isn't really as foreign as it might seem from a first blush.
Sean K.F. Hannan - Needham & Company, LLC, Research Division: Sure, I get the logic in terms of being effectively a warm start. So -- and certainly it being 1 out of 76, I think the color and the context is helpful.
Operator: Our next question comes from the line of Kevin Steinke from Barrington Research.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: I think last quarter, Mark, you gave a little more detail on the impact that base oil pricing had on the Oil Business margin. I think it was roughly 5 percentage point impact last quarter. Have you calculated a figure for this quarter?
Mark DeVita: Yes. If we look at where it was, it was a slight positive for us to the tune -- if you look at Q1, to the tune of a couple of percent.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Okay. So it was actually better relative to Q1 by a couple of points?
Mark DeVita: Yes. And there's a -- if you look at where the market has gone, there's been -- there was an improvement throughout the quarter. We started off in our quarters, again, as everyone probably remembers, they're slightly different from the typical fiscal calendar of most companies. But it actually started off lower from a market price, if you want to use spot pricing as your guide, which we do. Started off a little lower at the beginning of Q1 -- or excuse me, Q2. Then ramped up throughout the quarter or at least throughout our quarter. And depending on what indices you look at, we've talked about, Kevin, about a couple of different entities that we received based on spot pricing information from. And they aren't always exactly in sync. Some of them really have, between our first quarter and second quarter, a stagnant base oil price where it really didn't move at all on the spot market. Another one of the 2 -- or the other one shows a slight uptick, which is a little more reflective, obviously, based on the couple of percentage point I gave you, reflective of what we experienced.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Okay. That's helpful. And given that at least sequential improvement in base oil and all the internal improvements you've been making on used oil pricing and running the plant at 100% capacity at 65 million gallons, what's your thought on where the Oil Business margin is now given the fact that you've made all those improvements? I mean, is that -- was that an expected margin or something you see more room to improve, I guess, at these current operating conditions?
Mark DeVita: Well, we do see room for improvement. Certainly, we were really proud of what we did at the plant. We increased capacity a little more than we thought. We ran it very efficiently. So there is still more room for leveraging the business there. We're going to finish our expansion, as Joe touched on a couple of times already. But there is continuing room for improvement as to where our route efficiency is in used oil. The gallons per truck measure that we always talk about, that got better. But certainly, it's nowhere near even what I would consider a conservative target of 500,000 gallons annualized per truck, so we have room to go there. Joe mentioned that we haven't stopped, we hope on the -- at least to our efforts, anyway, and hopefully results follow on the PFO. So there's room there. But just to give you a feeling, even though there was some increase in our positive impact on the base oil price, it's still based on one of the sources that I referenced earlier. The spot price on average from last year's Q2 to this year's Q2 according to one of our sources is still down or was down $0.25 per gallon. So it's not as if we came up from a relatively high number in Q1. It was a pretty low figure. And base oil pricing continues to have a big impact and probably always will in this business. We have these other leverage we can pull, but that's something that -- we're a price taker, and we just have to deal with the situation. I don't know if Joe or Greg want to comment further.
Gregory Paul Ray: All right. I just would kind of -- you asked about how this quarter on the Oil Business shaped up relative to our expectations. And this was pretty consistent with what we wanted to deliver under the circumstances. It reflects continuing progress in the efficiency of the used oil collection business which we will continue to do more in, reflects continuing progress with the street price paid for used oil, which we'll continue to do more in. And it reflects improvement that the plant operating rate and capacity, which we're going to continue to do more in, although as Joe had said, what we think is good reasons, we're not going to rush to do the remaining part of the expansion until late in the year. But all those are things that lead us to believe that even if the price of lube oil doesn't change, we'll continue to make improvements in the profit margins of this business. And for a relatively new plant and a relatively new business, we're content with where we are at this point in time until there reflects acceptable level of execution.
Joseph Chalhoub: Well, on the variables that Greg has discussed, we're obviously happy with the progress. But if we look at the profitability of the oil, we have made some money before SG&A. Well, of course, we've at least -- we expect an improvement in the future and the measures that Greg and Mark have described are going to help us keep improving from where we are.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Okay, great. Just a couple of more for me, if I might. The sustainability of the margin Environmental Services, I mean, it was really very nice and high at 28% plus. I mean, do you expect to make more investments in the second half that maybe you could bring that margin down? Or how do you view that for the rest of the year?
Joseph Chalhoub: Well, first on those sustainability of that margin, we feel pretty good with our ability to maintain margins of at least 25% on which we've been referring to in the past. We -- our objective is to continue to fuel future growth without affecting these margins. We've been adding branches, we've been adding lines of business into the existing branches such as more vacant trucks and [indiscernible] vacant trucks. We've entered a small business with the antifreeze recycling, and we keep driving our aqueous Parts Cleaning business, which helps us to grow that segment. So we look at that and it's sustainable. And we're happy with not only the margins, but we're also happy with our ability to grow the top line and the segment. And finally, I'm pretty proud with our branch organization. We've got a pretty good season, the structure that covers most of the United States. And we have -- let's also remind ourselves, that we got plenty of branches with our -- in the early years. So it's not just adding new branches, but we have to keep growing the smaller volume branches. And so we know and we see that continuing over the next 2 years.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: All right. Well, just lastly from me. So should we assume that annualized input capacity of 65 million gallons continues through the end of the year until the expansion is in place? And also any comment on corporate SG&A expenses? Is that kind of a level we should expect going forward?
Joseph Chalhoub: Yes. Well, the corporate SG&A, Mark, unless he has some other views in here. Yes, we see that. That has been really pretty steady for a while, our SG&A. We just had a bump in the first quarter because of expenses relating to potential acquisitions. And relating to the capacity, we obviously on a day-to-day basis, start to see what more can we do. But it's fair to say that 55 million until we get the final step done. We're going to be pretty close to that kind of level, 55 million gallons a year.
Operator: Our next question comes from the line of Michael E. Hoffman from Stifel.
Unknown Analyst: If we started with oil division, I just had a couple of questions. Given how strong that demand side was and then tight supply since lots of generators, but Chevron is coming around early from downtime. Did the usual discounting that you would end up doing against whatever that published -- loosely published spot number is, does that discounting narrow?
Mark DeVita: Go ahead, Joe.
Joseph Chalhoub: It's not much, not much, but I'd say there's a few pennies. And -- but the fact we're sold out, we didn't chase the business as much. And -- but we've been in that mode for a while. I would characterize that the market right now is pretty, pretty steady. And some noises every week when the repost come out. But what we're seeing on our side is pretty steady. And we really won't know the impact -- the full impact of Chevron in my opinion here for several quarters. It will take us some time. Last time there was a significant -- back in the 90s, a significant new addition that took 2 or 3 years.
Unknown Analyst: Okay. And when you think about Chevron and what it is shipping, they're doing a low vis [ph] cuts first and then coming back at heavier base. What's the more impactful of those 2 coming into the market relative to you all anyway?
Joseph Chalhoub: Well, the low base.
Unknown Analyst: And when you think about their sort of continued commentary, this is really export capacity. The only place they've ever or actually said anywhere they ship in the U.S. would be East Coast. But if they did ship to the East Coast, is it really that meaningful from the standpoint of your model?
Joseph Chalhoub: We're covering -- we're shipping -- yes, we're definitely shipping at East Coast. We ship into Florida and so on. And with great car movements, we move -- we're really not moving in the West any business, but we're covering other than the West. We're covering the entire United States. We prefer to ship in our backyard, but we ship as well to the U.S., including the East. So we haven't seen anything here from -- relating to show them. And the publications that track lube prices have been pretty silent other than yes, they are producing the stuff now and filling their storage tanks that was being being sent out.
Unknown Analyst: Right. And then on the collection side, how would you characterize the progress in your asset utilization, that magic 500,000 gallons per vehicle? Where are we in the progress in that?
Mark DeVita: Yes, I think we made good progress. I mean, a quarter over -- year-over-year quarter, I think it was over 15% improvement in buy-ins. So we did -- we're making good progress there.
Unknown Analyst: And then as you think about the PFO and congratulations on driving that lower, how do you -- what do you think -- or maybe it's no impact, but do you think the low sulfur marine fuel standard coming in at the first of the year, does that start to suck up some of the used motor oil, since it's by definition it tends to be lower sulfur? And with maybe a limit some of the downside and the positive downside in that PFO price, how do you think about that?
Joseph Chalhoub: Well, I saw your note relating to this. And so we did do some inquiry with the people that we have done business with on -- with the -- relating to VGO. One, we were making and selling VGO. We still have relationships with these -- I would call them resellers or brokers, and try to understand the impact of very low sulfur at VGO. And it is -- at this stage, there's no clarity of how that would impact the market price of VGO. We do produce very low sulfur, VGO our industry does then. We don't see at this stage much of an impact. And so we'll have to wait and see until 2015 comes in. We are in a position of selling VGO, if we think VGO really pricing gets very attractive compared to our base oil. The price of an intermediate step of the re-refinery. Does this makes sense? We would do it, we sold these during the past, but we haven't got any market intelligence to say that it's going to be a big bump at this stage.
Unknown Analyst: Okay. And then with regards to the 65 million gallons, you made a significant improvement a year ago when you put in the heat exchanger doing 50 million to 60 million. Is this on that same technology just extracting more yield? Or did you in fact make some incremental changes to get towards the ultimate 75 million, and that's where the incremental 5 million gallons came from?
Joseph Chalhoub: We've added the process we have been adding -- we've been making process changes, and so -- and we benefited in the third quarter and as we keep going forward. Although we haven't completed the system, important [ph] equipment we have not put in place.
Unknown Analyst: Which is the step function from 65 million to 75 million?
Joseph Chalhoub: That's right, that's right.
Unknown Analyst: Okay. And so at one point we were thinking -- I'm sure you're coming out of the first quarter because of the weather delays that have pushed out your rollout that you would have been taking downtime to in order to phase that equipment in 3Q or the third period as I -- I just want to make sure I understand this messaging. That's no longer the plan, and if you're going to run the third period much like you did in the second and look opportunistically in the fourth period to determine if you should do that, particularly since it's the seasonal low for that business anyway.
Joseph Chalhoub: Exactly. Now that's right. And I would like to add the nameplate capacity is one number. And together with that is neutralization of the facility, this type of business, whether it's a re-refiner or if you're a refiner or chemical plant. We had a terrific quarter over. We were able to get at -- and run and produce at the nameplate capacity, as you know, historically. People and us both wanted 100%. So we're going to strive in to get to these kind of levels. And when we get to the 75 million, again, it just would be a nameplate capacity. And our objective running this thing is to get as close as possible in that nameplate capacity.
Unknown Analyst: Fair enough, Joe. Fair enough. And then on the environmental side, very strong margin. Typically, you've tended to take that margin and use it as a means of reinvesting in the business and manage to a level. So would we expect that sort of ongoing behavior and, therefore, potential ramping up of some spending margin walks back a little bit, but then it's creating the catalyst for that much more growth?
Joseph Chalhoub: Yes, that has been our mode here for the last couple of years, and so we're watching that. We have wanted to improve, but we had a tough 2009. That margins had slipped down to 17% for 2, 3 quarters then.
Mark DeVita: And even later than that through end of '11.
Joseph Chalhoub: Yes. And so we start improving it from the low end and just being careful about the additional staffing. And -- but in our approach to the business, we are definitely, as we speak, we're happy with these margins and we are definitely, as we speak, we're fueling growth. We've got to be able to maintain our top line, the growth in the Environmental Services in a double-digit level.
Operator: [Operator Instructions] That concludes our question-and-answer session for today. Thank you for your time and interest. We're grateful for your support. We invited you to join us for our next conference call.